Operator: Welcome to Symantec’s third quarter 2008 earnings conference call. Today’s conference is being recorded. At this time I’d like to turn the conference over to Helyn Corcos. Please go ahead.
Helyn Corcos: Good afternoon and thank you for joining us. With me today are John Thompson, Chairman of the Board and Chief Executive Officer of Symantec, Enrique Salem, Chief Operating Officer, and James Beer, Executive Vice President and Chief Financial Officer. In a moment I will turn the call over to John. He will provide high level comments on our fiscal third quarter results which ended December 28, 2007. Then Enrique will discuss more specific details of the quarterly results, then James will review the financial details and discuss our guidance as outlined in the press release. This will be followed by a question and answer session. Today’s call is being recorded and will be available for replay on Symantec’s Investor Relations homepage. A copy of today’s press release and supplemental financial information are also available on our website along with prepared comments which will be available on the website shortly after the call is completely. Before we begin I’d like to remind everyone that some of the information discussed on this call, including our projections regarding revenue, operating results, deferred revenue, cash flow from operations, amortization of acquisition-related intangibles, and stock based compensation for the coming quarter contains forward-looking statements. These statements involve risks and uncertainties that may cause actual results to differ materially from those set forth in the statements. Additional information concerning these risks and uncertainties can be found in the company’s most recent periodic reports filed with the US Securities and Exchange Commission. Symantec assumes no obligation to update any forward-looking statements. In addition to reporting financial results in accordance with generally accepted accounting principals or GAAP, Symantec reports non-GAAP financial results. Investors are encouraged to review the reconciliation of these non-GAAP financial measures to the most directly comparable GAAP results which can be found in the press release and on our website. Now I would like to introduce you to our CEO, Mr. John Thompson.
John W. Thompson: Thanks, Helyn. I am very pleased with the strength of our business and with the solid execution of our team during the December quarter. Strong sales performance in EMEA and APJ coupled with continuing improvements in the Americas operation drove the overperformance for our company. In addition, there were a number of key product areas that delivered strong double digit growth, including email archiving, messaging, compliance, and our Windows-based backup solutions. While we can’t forecast the economic environment, we are confident in the strength of our portfolio. Security and storage management solutions continue to be top spending priorities for our customers. Furthermore, based on customer surveys, key purchase areas for the coming year also include solutions that address regulatory compliance, virtualization, and enterprise message management, including archiving and data loss prevention. We are very well positioned to capitalize on these growth trends. The near term catalyst that should drive attractive growth prospects for Symantec include the continuation of the market momentum we’ve established with core products like BackUp Exec, Enterprise Vault, and Symantec End Point Protection. Furthermore, our broad international exposure and our strength in key buyer segments like SME should prove to be important for us as well. I’m confident of our business and our building momentum as we head into our fiscal fourth quarter. Symantec has long focused on relevant IT trends in order to drive sustainable growth. These trends include optimizing existing infrastructure and lowering cost for enterprise customers. In addition, the evolving threat landscape compounds the growing problem of complexity and risk. The recent information security breaches in the UK and here in the US point to failures in the development and implementation of appropriate security policies. These incidents validate our view that a security strategy must be policy driven, information centric, and operationalized across a well-managed infrastructure. Our customers face an enormous challenge in integrating all the components they must acquire to ensure they’re appropriately managing their information assets. Our broad portfolio of products and services, coupled with a clear strategy for product integration, should make this task much easier for them, particularly those in the mid market. For example, the tighter integration of Altiris with backup and system recovery functions as well as with end point protection should make the process of securing and managing their information much easier and provide real market differentiation for us. As I mentioned last quarter, we started an active review of our product portfolio to ensure many of the investments made over the years are meeting both our customers’ needs and our financial expectations. As a result, last week we announced an agreement to divest our application performance management business. We determined that our customers would be better served by creating a standalone company dedicated to providing the investment required to develop innovative products. We will continue to support our customers for a period of time as they transition to the new company and its support operation. Through this product portfolio process, we expect to eliminate or harvest lower growth businesses or products with lower operating returns than we think are appropriate for our company. As a natural byproduct of this process, many of the higher growth areas we’ve been investing in will become much more visible to investors. We expect this process to be ongoing and is squarely focused on driving growth and stronger operating returns. During the December quarter we closed the VonTu acquisition. VonTu has maintained its competitiveness and market momentum across a broad range of industries including retail, health care, energy, and utilities, and had record bookings for the quarter. VonTu expands our presence in the rapidly growing data loss prevention market with clear market leadership functionality. In December the VonTu team released Data Loss Prevention 8, the industry’s first integrated solution that combines end point and network based technology to prevent the loss of confidential data wherever it is used or stored. Earlier this month, Infoworld recognized them as the best DLP solution for the third straight year. Going forward, we see excellent opportunities to broaden the distribution of the VonTu products, particularly in the international markets, and to integrate it with several of our key products, including Symantec end point protection, our mail security appliances, Enterprise Vault, and our storage products, further differentiating Symantec from the competition. The early synergies in both product development and sales from Altiris and VonTu have been encouraging as they help to underpin new growth initiatives for our company. It’s my belief that these types of acquisitions should add new top line growth for Symantec and help improve our operating returns. I would expect us to continue to look for acquisitions that drive revenue growth and enhance our net income. In addition, just like Altiris and VonTu, they will add highly focused teams with great technology and strong customer relationships. Just a few weeks ago we announced a number of important organizational changes with an eye towards optimizing our diverse portfolio of products and ensuring we get better leverage from the investments we are making in people and technology across our company. Specifically, we created the new role of Chief Strategy Officer, which integrates the corporate strategy and M&A functions under one leader in order to bring a heightened level of focus on our overall product portfolio and our growth prospects. This new team will focus on ensuring the overall company is investing and managing the business for sustainable growth and profitability. It places greater emphasis on optimizing the company and not a particular business unit or product area. In addition, the Chief Strategy Officer will lead the charge for our investments in emerging growth areas like the creation of the Symantec Protection Network which will serve as the basis for our software and service platform. The strategy team will play a vital role in our ability to identify and invest in new business models and go to market strategies. Secondly, we announced the appointment of a Chief Operating Officer to help drive operational consistency across the company and deliver more predictable results. While it’s not a new role for Symantec, I felt the diversity of our portfolio and the breadth of our global business operations warranted that we revisit an operating model that had proven to be successful for us in the past. Moreover, we should be able to achieve greater leverage from our broad portfolio of technology and services while ensuring our field sales and services teams are ready to execute on current and new product initiatives. With that, I’ll turn the call over to our new Chief Operating Officer, Enrique Salem, who will provide more detail on December quarter highlights.
Enrique Salem: Thanks, John. First of all I want to say how excited I am to be given this opportunity. My focus will be to drive consistency across the company and improve our ability to deliver top line growth. I’m highly confident we can maximize our potential and provide the best solutions and values to our customers. As you know we’ve made significant changes to the enterprise sales organization and I’m pleased to report that these changes helped lead us to greater operational improvements in the quarter. During the fiscal 2008 the sales compensation model was modified to emphasize new license sales with our specialist teams. We are pleased with the results to date as I believe that our new license sales have seen a benefit from this change. Our current geography leaders have done a tremendous job with their respective sales organizations, leading to improved sales execution. Our immediate team posted double digit growth with all subregions performing solidly. We are particularly impressed wit h the immediate team’s ability to increase the number of big deal transactions by 100% over the last year. In APJ, the leadership changes have gone smoothly as the region continued to post strong numbers and importantly, sales execution in the Americas continues to show solid progress. On the product side, the new competitive functionality in our core products coupled with improved quality gives me tremendous confidence about our growth prospects. Looking ahead, I believe we have built a strong pipeline going into our fiscal fourth quarter. Now I’d like to discuss a few of the highlights from the December quarter. While still early in the customer adoption cycle, Symantec End Point Protection 11 has gotten off to a solid start. This product has already received some of the best evaluations and reviews from the industry. Information Security Magazine tested 8 end point security solutions from all the major security vendors and ranked Symantec the best overall for our manageability and component integration. Our nearest competitor received the lowest grade in the manageability category, the single most important category for our enterprise customers. In a separate review, PC Magazine calls SEP 11 the most comprehensive centrally managed end point security solution for businesses and gave it its coveted Editors Choice Award. The Symantec network access control component of SEP 11 also known as SNACC is testing well. In an assessment by Network World, Symantec ranked as number one as the best all around all-in-one NACC product in a test of 13 products from companies like Cisco, Juniper, Checkpoint, and McAfee among many others. More importantly, customers are seeing the value in SEP 11 and SNACC and are rapidly adopting the new products. During the December quarter we shipped 23 million seats of SEP. In addition to implementing upgrades to current customers, we also garnered several major new customer wins that included many competitive displacements. Net Backup 6.5 also got off to a solid start and was part of many of our largest multi-product deals during the quarter. Data center administrators are increasingly moving from tape to disk based backup. Net Backup 6.5 features new disk based backup capabilities which are focused on delivering leading integration of backup appliances and delivering native, sand, disk backup, and deep duplication features. These options allow us to take full advantage of the power of disk based data protection. Customers also like Net Backup’s ability to backup VMware environments. Net Backup 6.5 won the Best In Show BM World Gold Award in September. One of our strongest revenue growth products is Backup Exec, the market’s leading Windows-based data and system recovery solution. The 11 D version of Backup Exec which was released a little over a year ago has been a tremendous success for both Symantec and our channel partners. We have found that small and medium sized businesses are embracing the product’s robust management capabilities. We’re looking forward to building on that momentum with the release of Backup Exec 12 in the March quarter. Worldwide demand is also unprecedented for our Enterprise Vault, the leading email archiving and retrieval product. Enterprise Vault has been in the leadership category of Gardner’s Magic Quadrant for the past several years and is currently the only product in the leadership category. We believe Enterprise Vault has become the de facto solution for addressing the ever-increasing regulations around e-discovery. The Altiris business experienced strong new license growth and robust sequential growth as customers are embracing the convergence of security and systems management at the end point. These results include the SME benefits received from the channel alignment and mapping work that has been done for some time now. For large enterprise accounts, we are particularly pleased with the traction Altiris is getting with sales force cross training, particularly in international markets as Altiris continues to leverage Symantec’s broad global reach. Over the past three quarters we’ve made significant strides in integrating the Altiris technologies. In some of our key products the Altiris architecture has allowed us for relatively easy integration into products such as Symantec End Point Protection 11 and Backup Exec System Recovery. This rapid progress has redefined the benchmark for all of our engineering teams with regard to new technology integration. Currently we’re focused on further extending the Altiris web services model to tie all of the technologies together via the Altiris framework. Additional integration opportunities exist which would enhance the Altiris offerings ability to push patches and link to a vulnerability database. Finally, we are well positioned as companies migrate to Vista and we are excited about the sales opportunities Altiris solutions can bring to us during this process. Now on the consumer side of the business, we are maintaining our category leadership by bringing the most innovative products to the market targeted at various consumer segments. Norton Internet Security works well for the wired segment who are more used to assembling their own PC solutions and are often the folks who own NIS together with Norton System Works or another one of our point products. The introduction of Norton 360 allowed us to focus on the under served segment we call digital families. Many of these customers already own an internet solution but wanted it to be easier to use and demanded that it provide an all-in-one protection service. Norton 360 delivered and is ramped to over 25% of our new consumer sales, representing our most successful consumer product launch to date. The explosive adoption rates of Norton 360 validates our consumer strategy and underscores the market demand for a more targeted product portfolio and affirms consumer’s willingness to pay a premium price for the best solution. We expect to launch the 2.0 version of Norton 360 by the end of March. The new product includes browser protection, Norton Identity Safe, which secures your passwords, and Symantec’s Advanced Anti-Phishing technology which extends our whole security capability to offer protection against online fraud. The new version will also provide more options for backup destinations including Blu Ray, iPods, and shared drives. It’s clear to me that the most advanced PC security tool on the market is about to take another big step ahead of our competitors. With that, I’ll hand it over to James to provide the financial details for the quarter.
James Beer: Thank you, Enrique, and good afternoon, everyone. I am pleased to report that our December quarter results performed better than expected on each of our four primary financial metrics: revenue, deferred revenue, earnings per share, and cash flow from operations. Now I’ll review the financial details of the December quarter. GAAP revenue was $1.52 billion. Non-GAAP revenue grew 15% versus the December 2006 period to $1.53 billion. Foreign currency movements positively impacted non-GAAP revenue by 5 percentage points year over year and by 2 percentage points sequentially. The December quarter’s diluted GAAP earnings per share were $0.15. Non-GAAP diluted earnings per share grew 27% to $0.33 as compared to December 2006. International non-GAAP revenue for the December quarter grew 21% to $812 million versus the year ago period and represented a record 53% of total non-GAAP revenue. The Europe, Middle East, Africa region grew 26% and Asia Pacific, including Japan, grew 19%. Foreign currency movements benefited EMEA revenue by 13 percentage points and APJ revenue by approximately 8 percentage points year-over-year. The Americas grew 8% year-over-year. Now I’d like to move to the December quarter’s non-GAAP revenue by segment. Consumer revenue generated $440 million, up 8% versus the December 2006 quarter. Norton Internet Security revenue grew 8% and remains the single largest product contributor to our consumer category, generating approximately 59% of consumer revenue. As Enrique mentioned, Norton 360 now accounts for over 25% of consumer sales activity and is serving to protect and grow a premium market position. The rich feature set of Norton 360 brings with it a higher average selling price which has allowed us to generate growth despite the continuing decline in the retail channel which now accounts for only 25% of our consumer revenue. Moving now to the enterprise, in the December quarter we generated a record number of large deals. We booked a total of 554 transactions valued at more than $300,000 each, an increase of 35% as compared to 409 deals in the December 2006 quarter. We also recorded 127 deals worth more than $1 million as compared to 115 in the December 2006 quarter. Almost 80% of large transactions included multiple products or services. Our Security and Data Management revenue of $448 million grew 9% over the December 2006 quarter. Backup Exec continued to build momentum, posting revenue growth of over 30% compared to the year ago period and generating solid sequential growth for the fourth consecutive quarter. Enterprise Vault and our compliance products grew as mid-to high teens rates year-over-year. The Data Center Management group produced revenue of $444 million and grew 11% from the year ago period. Storage and server foundation generated record results, growing revenue at mid-teens rates year-over-year and sequentially. The results were driven by our customers’ desire to simplify their data center infrastructures. Our customized ROI tool clearly demonstrates how our solutions can improve the operational performance of data centers as well as drive dramatic direct cost savings. The cost reduction benefits of our simplification and standardization themes continue to resonate with data center customers. In addition, our foundation solutions provide high availability as well as storage and server optimization across all major virtual machine platforms. The Altiris business unit posted non-GAAP revenue of $100 million. Standalone Altiris solutions generated record non-GAAP revenue of $65 million. Altiris’ non-GAAP revenue includes the impact of $9 million worth of deferred revenue lost on the GAAP basis as a result of the purchase accounting method related to the acquisition. Also, our legacy Symantec products, Ghost and PC Anywhere, performed better than expected during the quarter. Our services group posted strong top line performance, increasing revenue to $96 million. We are pleased with the services teams ability to generate value by increasing both customer satisfaction and our ability to sell, deliver, and implement more software. Strong year-over-year growth of 40% was assisted somewhat by one-time administrative challenges that occurred during the December 2006 quarter. Non-GAAP gross margin increased to 86.2% for the December 2007 quarter as compared to 83.2% for the year ago period, driven by lower costs resulting from our reduction in four sections in addition to the movement of the majority of our consumer OEM fees from the cost of goods sold line to operating expenses. This is the third consecutive quarter of sequential gross margin improvement, reaffirming that our cost controls are making an impact. Improved revenue and cost efficiency actions have increased operating margins for the quarter to 27.4%, up 170 basis points year-over-year and up 220 basis points sequentially. Non-GAAP operating expenses for the quarter were approximately $900 million. Operating expenses declined by about 1% year-over-year after adjusting for the impact of acquisitions, exchange rates, and the addition of consumer OEM fees to the operating expense line. We expect operating expenses excluding acquisitions, exchange rates, and consumer OEM fees in the March quarter to decline by approximately 2% year-over-year. While we are encouraged by the progress we’ve made on costs, we expect consumer OEM fees to increase going forward, driven by PC shipments. We are on course to drive cost benefits of approximately $350 million versus our original goal of $200 million in FY08. Our cost improvement initiatives are targeting areas across the business, but we have been diligent to ensure that these reductions don’t impede our ability to bring high quality products to market or hurt our ability to meet customer service levels. The value of these initiatives is building as the year is progressing, placing us in a stronger expense position as we exit the fiscal year. We will continue to focus on our cost structure going forward while simultaneously working to identify new opportunities for revenue growth. GAAP net income was $132 million for the December 2007 quarter. Non-GAAP net income equaled $292 million, up 16% versus the December 2006 quarter and up 11% sequentially. Symantec exited December with a cash and short term investments balance of approximately $2 billion. We have continued to return excess cash flow to our shareholders. As such, during the quarter, we repurchased $400 million of our outstanding shares or 22.7 million shares, at an average price of $17.60. Our net accounts receivable balance at the end of the December 2007 quarter was $902 million. Days sales outstanding or DSOs was 54 days compared to 51 days in December 2006. DSOs typically peak above 50 in December quarters due to renewal activity concentrated towards calendar year end. Cash flow from operating activities for the December 2007 quarter totaled $462 million. This figure was higher than forecast due to better than expected sales activity. GAAP deferred revenue at the end of the December 2007 quarter was $2.88 billion. Non-GAAP deferred revenue at the end of the quarter was approximately $2.9 billion, up 12% as compared to the December 2006 quarter and up 10% sequentially. Foreign currency movements benefited deferred revenue by 5 percentage points year-over-year and by 2 percentage points sequentially. Now I’d like to spend a few minutes discussing our guidance for the March quarter. Two quarters of improved sales execution coupled with four consecutive quarters of improved revenue yield leads us to be more positive on our view of the fourth quarter. Taking into account the macro economic environment and an exchange rate of $1.45 per euro, our forecast for the March quarter is as follows: GAAP revenue is estimated to be between $1.5 billion and $1.54 billion. Non-GAAP revenue is estimated to be between $1.51 billion and $1.55 billion. We expect to recognize VonTu revenue ratably over the next few quarters until we have established the SOE. As such, we expect revenue from VonTu sales to be a relatively minor contributor to total revenue during this time. GAAP earnings per share are forecasted between $0.16 and $0.18. Non-GAAP earnings per share are estimated between $0.33 and $0.35. This includes $0.02 of dilution related to the acquisition of VonTu as we discussed last quarter. During the March quarter we expect almost $910 million of our non-GAAP deferred revenue balance to convert into recognized revenue. This is 18% higher than the year ago figure. Going forward, we expect deferred revenue growth to stabilize and be more aligned with revenue growth rates. GAAP deferred revenue at the end of the March quarter is estimated to be between $2.94 billion and $3.04 billion. We expect non-GAAP deferred revenue to be in the range of $2.95 to $3.05 billion. We are raising our guidance for fiscal year 2008 based upon improving operational performance as follows: GAAP revenue is estimated to be between $5.835 billion and $5.875 billion. Non-GAAP revenue is estimated to be between $5.9 billion and $5.94 billion. At midpoint this is $220 million greater than the guidance initially provided. GAAP earnings per share are forecasted between $0.46 and $0.48. Non-GAAP earnings per share are estimated between $1.24 and $1.26. At the midpoint, this is $0.13 above our initial guidance. We expect cash flow from operations for the fiscal year to be greater than the $1.67 billion reported in fiscal year 2007, in line with our original guidance. With that I’ll turn the call back over to John for some closing remarks.
John W. Thompson : Thank you very much, James. In conclusion, we’re quite pleased with how we executed during the December quarter. We remain enthusiastic about the prospects for our recently launched core products such as Symantec End Point Protection 11 and Net Backup 6.5 and we are encouraged by the worldwide demand for our solutions as evidenced by the strong pipeline we are seeing going into our fiscal year end. We’ve implemented several initiatives to drive top line results. At the same time, we’ve also focused on the cost side of the equation and will continue to look for ways to make our business even more profitable. While we will continue to keep a watchful eye on the macroeconomic conditions around the world, we are optimistic that our near-term prospects remain quite strong. Overall I’m quite confident in our ability to deliver solid growth and improving profitability into the next quarter and fiscal year 2009. With that, I’ll turn it back to Helyn to see if we can take some of your questions.
Helyn Corcos: Thanks, John. Wayne, will you please begin polling for questions?
Operator: Certainly. (Operator Instructions) We’ll ask that you limit yourself to one initial question with a follow up.
Helyn Corcos : While the operator is polling for questions, I’d like to announce that Symantec plans to attend the Thomas Weisel Partners conference on February 6th, the Goldman Sachs conference on February 28th, and the Morgan Stanley conference on March 4th. In addition, we will be reporting our fiscal fourth quarter results on April 30th. For a complete list of our investor related events, please visit our events calendar on the Investor Relations Website. Wayne, we’re ready for our first question.
Operator: Very good. Our first is from Adam Holt with J.P. Morgan.
Adam Holt - J.P. Morgan: Good afternoon and thanks for taking my question. My first question is on the strength and deferred revenue which was the best number we’ve obviously seen in a number of quarters. You mentioned the impact of currency on deferred revenue but I also was hoping to find whether or not you saw any material shift in how contracts are getting booked in the quarter towards a bigger component of deferred revenue, if there was anything else behind the strength in that line item.
James Beer: Adam, no, really quite to the contrary. We continue to see an improvement in the revenue yield and in essence that’s correlated with license rather than maintenance so we were very pleased with the fact that we were able to build the deferred revenue balances we did even on an FX adjusted basis under such strong revenue growth circumstances.
Adam Holt - J.P. Morgan: And if I could just shift for one question on the cost side, you mentioned that you did have a couple of cost savings initiatives. Margins were up on a year to year basis. Could you detail a little bit some of the areas where you were pulling in expenses and maybe particularly talk about some of the special incentives to the sales organization and the impact those had.
James Beer: Well our focus on our infrastructure certainly went across the company. We have gone through a relatively modest reduction in force during the quarter as I think you know. We also focused on the volume of contractors, consultants who are working here, really looking across all the different line items associated with how we spend money, travel, office expenses, all of those sorts of things, while at the same time really looking to still be able to have the capability to deliver very high quality products and to be able to keep our customer service levels where we want them to be and I think our results reflect that.
Adam Holt - J.P. Morgan: Thank you. Operator Our next question then is from Peter Cooper with Morgan Stanley.
Peter Cooper - Morgan Stanley: Thanks very much. I’m not sure if this is john or Enrique, but guys last summer we heard a lot about deal losses, some pretty large names, and McAfee was certainly making good noise that they were picking up a lot of competitive wins. John, I think specifically you said this quarter you had some competitive placements. Are you seeing that environment now shift back in your favor from a stability point of view and is that because of 11.0 coming out or being more aggressive on price or a little more color there would be very helpful, please.
John W. Thompson: Well Peter I think it’s quite clear in our results that SEP 11 has certainly arrested any declines that we might have seen in the end point security component of our business. As Enrique noted in his planned remarks, we shipped 23 million units in the quarter. That said, there was a fair amount of pent up demand from the channel and from our customers for what they thought to be a pretty doggone good product. You couple that with some of the marquee name win backs that we did, some of which I personally was involved in, and it gives us great reason to be encouraged that our engineering team and our product management team did just an absolutely superb job in building this product. While we would have loved to have had it a year ago, I’m damn glad we got it now.
Peter Cooper - Morgan Stanley: Got it. And then in line with that thinking now, I think you’re offering a more comprehensive suite at the end point, and in your comments, John, I think you said you’d be reflectively inquisitive. If I heard that right, given you guys have run the gamut from smaller deals like a Seagate to a medium size deal to VonTu and up to an Altiris size, are there any deal size considerations at this point or are you just going to be selective where it makes sense as a general rule?
John W. Thompson: As a general rule, Peter, we’re focused on securing and managing the world’s information. So you should expect to see us do transactions in those categories of activity. Now we also recognize that in order to secure and manage the world’s information, you’ve got to do more to help them automate their infrastructure, so there’s likely to be some server management related activities that we’ll engage in as well, but we don’t have a size dimension that is a delimiter for us although we have no big deals planned, that’s for sure.
Peter Cooper - Morgan Stanley: Thanks very much, John. Congrats.
Operator: Our next question is from Heather Bellini with UBS.
Heather Bellini - UBS: Hi John, good afternoon. I had a question. Last quarter you were pretty insightful. You commented about the swelling of the US economy and gave what ended up being maybe guidance that was a little bit too cautious. I saw your comments on January 9th that you put out on Reuters and I’m just wondering what do you think is different that gives you the confidence given your comments about now you see it spreading to maybe economies outside the US to raise numbers whereas you didn’t have it last quarter. I guess that’s one question and then I have a follow up about the end point compliance product.
John W. Thompson: I think what we saw Heather throughout the quarter was continued build and the momentum for many of our core products. WE saw across the board very, very solid growth in end point protection. In our Data Center Management products they had double digit growth for the first time in a very, very long time and when we look at the pipeline of deals planned for the March quarter and the coverage ratios that we would expect to see coming into the quarter, we have the highest coverage ratios we’ve had in several years. You couple that with higher quality products, improving employee morale and customer satisfaction, candidly, those are the things that underpin our confidence in the March quarter.
Heather Bellini - UBS: Okay, and then a follow up on the end point compliance product. You shipped 23 million units. Can you talk about the percentage of those 23 million units where people are actually turning it on for the first time so there’s a revenue opportunity for you versus a maintenance opportunity?
John W. Thompson: Candidly, Heather, I don’t have that granular a view at this point. I would suspect however that the vast majority of them are going into the existing base of customers short of the competitive win backs that we saw during the quarter.
Heather Bellini - UBS: Okay, great, thank you.
Operator:
Our next question is from Sarah Friar with Goldman Sachs. :
Analyst for Sarah Friar - Goldman Sachs: Hi, this is Derek in for Sarah. Congratulations on the quarter. I wanted to maybe get some detail on the realignment of back into what seems like storage and security divisions and interested in what drove that decision.
John W. Thompson: Well actually it’s not storage and security divisions. We may have not characterized it as well to you in our press release but the Data Center Management group as it was called is being repackaged to reflect our storage and server focus. What we didn’t want to do was to suggest that by having organizations focused on particular buyers we could lock technology into one unit or another. So what I want to happen as a result of this realignment is that our team will do a great deal more to share both the technology that we have in our portfolio and the skills that we have in our engineering and architectural teams and by moving away from a “Well I manage the data center and I manage consumer and I manage this that or the other” hopefully we’ll get better cross-company sharing of the capabilities that clearly can differentiate Symantec in the marketplace.
Analyst for Sarah Friar - Goldman Sachs: Is there going to be any change from that in terms of how the channel is covered or served?
John W. Thompson: No, not at all.
Analyst for Sarah Friar - Goldman Sachs: Okay and then just one follow up on the APM divestiture. Is that likely to be the largest that we’re likely to see in terms of assets that you’re looking to shed?
John W. Thompson: As we continue to work our analysis of our portfolio and we have something to tell you about from a divestiture point of view, we’ll do that.
Analyst for Sarah Friar - Goldman Sachs: Great, thank you very much.
Operator: Our next question is from Phil Winslow with Credit Suisse.
Philip Winslow - Credit Suisse: Hi guys. John, you mentioned the continued strength of that Backup Exec product line you say a year after the launch now. I’m wondering if you’d just comment on just your outlook there but also on that Net Backup business and how do you just view the growth rate of the overall backup market and sort of particularly between those two segments?
John W. Thompson: Well we have seen, Phil, just phenomenal growth in Backup Exec for now four or five consecutive quarters. As a matter of fact, it had its strongest quarter last quarter in the history of the product and the 12.0 version that’s expected to launch in March that Enrique referenced has some really, really incredible features and it more tightly integrates the backup and archiving function. It candidly does some of the things that we had envisioned when we brought the two companies together where you can have a vulnerability alert trigger a more frequent backup process so it’s our belief that we’re starting to see some of the real benefits that we had envisioned a few years ago in bringing security and security-related activity closer to where information is being either managed or stored. Now that said, our hope is that we can sustain this momentum for Backup Exec and we can accelerate what’s going on in the net backup market. Clearly, Backup Exec is gaining share. The view as to the global backup market is a mid single digit market and we are growing in high teens, candidly in some markets, low 20s. We have strong results in the most recent quarter for Net Backup that is more in line with market growth rates and so I think what this says is you deliver quality products, you put great support around it, and you can grow at or above the market rate, and that’s clearly the case for our backup business now.
Philip Winslow - Credit Suisse: Great, thanks guys. Operator Our next question is from Todd Raker with Deutsche Bank.
Todd Raker - Deutsche Bank Securities: Hey guys, nice quarter. Just turning to the consumer market for a moment, I know you guys gave some commentary in terms of Norton 360 and the record uptake you’ve seen, but could you just step back and give us a sense for where you think the growth profile of this industry is today if you look out two or three years, where you see kind of the optimum penetration, international versus domestic, and what’s the upsell opportunity to suite? How far down that path are we and kind of what’s the uptake expectations going forward?
John W. Thompson: Well Todd as you look at the consumer business, one of the things that’s important to note is the market is absolutely saying they want to see continued move to all-in-one security solutions and that’s why we’re seeing the success with Norton 360. 25% of the bookings of the quarter were associated with that offering so we think that there’s a lot of runway to continue to move that broader offering not only to the digital families but across the entire segment, and that’s not only here in the US, that’s around the world. So there’s a continued strong opportunity to move form the point products or even Norton Internet Security to the higher value Norton 360 product. At this point we see the same drivers around the world that we’ve always seen which are around PC shipments and broadband adoption so we always monitor those carefully and ultimately some of our growth rates are associated with those two fundamental drivers but we are very encouraged by the success of Norton 360 and we think that really signals what the marketplace is saying which is people don’t want to have lots and lots of point products. They want to have one integrated solution that solves the issues around protecting their PC and protecting when they go online.
Enrique Salem: One follow up think I would add to that Todd is that as you look at the shift to a different form factor device where it’s not a laptop or a PC but it may be an iPod or a Treo, that’s going to require a different combination of technologies and quite frankly we believe perhaps a different business model and so one of the things we were trying to do with our recent realignment was to think through how could we within the company incubate businesses that would focus on different technology packaging and different business models so they’re not, if you will, sacrificed by the high revenue, high margin components of our business as we have to make tradeoffs from an investment perspective.
Todd Raker - Deutsche Bank Securities: Just two quick follow ups on that. How much of the business would you attribute to international today versus domestic and do you guys feel you’re growing faster than the market in line or below?
James Beer : Well the international revenue base is now representing 53% of total business and I mentioned in my remarks that we were pleased with our growth rate so 26% in Europe, 19% in Asia --
Todd Raker - Deutsche Bank Securities: I’m sorry, I’m talking business to consumer.
James Beer : Ah, okay. In terms of the consumer business, it’s about the same balance in terms of revenue offshore versus within the United States and so we’re quite pleased with that balance of business. We feel as though our emphasis on Norton 360, the product suite, is playing well in different parts of the world, just as well as it is playing in the US.
John W. Thompson: A great example, Todd, of where we’re doing really well, for example in the international markets you take the UK market and what we’re seeing from a market share perspective. I mean, those numbers aren’t very impressive and so around the world we’re having success, not only with the core products but also with the new products like Norton 360.
Todd Raker - Deutsche Bank Securities: Great. Thanks, guys.
Operator: Our next question is from Michael Turits with Raymond James.
Analyst for Michael Turits - Raymond James: Hi, this is Miranda Davidson calling for Michael Turits. Can you give us any more details on the turnaround of the sales organization in North America?
John W. Thompson: I think what I would tell you is it starts with some of the changes we made in the leadership team and we put in a new leader in the Americas who has refocused our efforts there and really started to turn the overall morale of the organization around and then we also have strong leaders in Asia Pacific and in Europe. Quite frankly the other thing that we did was we moved our specialist organization to focus on new license and I think that was an important shift that has helped the overall execution of our team, but I think that the leadership that we put in place and some of the changes that we’ve made around comp and coverage models has definitely helped overall.
Analyst for Michael Turits - Raymond James: Thank you.
Operator: Our next question is from Tim Klasell with Thomas Weisel Partners.
Tim Klasell - Thomas Weisel Partners: A quick question with the Backup Exec 12 launch. Clearly you’ve had a great run with 11. Do you expect any freeze ups or can you sort of walk us through what you’d expect from the growth of that product as you get closer to the launch?
John W. Thompson: Well actually if we look at the Backup Exec market, while 11 D has gone exceedingly well, there are still many, many, many thousands of customers that are on older versions than even 11 D so the focus of the 12 launch is to make sure that we can pull many of those customers into the new technology realm that 12.0 product will represent. So we don’t expect or anticipate any slow down in that business as a result of this launch given how broad the opportunity base is to upsell man of our customers.
Tim Klasell - Thomas Weisel Partners: Then one real quick one, I know one of the objectives with 360 was to have people backing up online it would be a stickier sale, can you give us any idea of what percentage of the Norton 360 customers are actually using the backup feature?
John W. Thompson: Right now of the products that we’ve shipped, about a third of all of the users of 360 are using the online service. We have already surpassed a new high water mark both in terms of the penetration of the product where I think Enrique said it represents 25% of new sales into the market, and we have an enormous number of new backup customers who are on the service.
Tim Klasell - Thomas Weisel Partners: Okay, great, thank you.
Operator: Our next question is from Daniel Ives with FBR.
Daniel Ives - FBR Group: Yeah, thanks. Question with the current environment with [cards] uncertain. Do you believe that Symantec can capitalize on that just given the reputation, the breadth of your products, and maybe some customers that would normally go to smaller vendors now would go to Symantec? Do you think that’s an opportunity for as we look out on the next few quarters?
John W. Thompson: We think we are participating in the markets that are certainly going to get the lion’s share of the net new spending that will occur, hence security and storage management. We think we have a very, very strong global brand and great presence in all of the markets around the world. We’re focused on this very simple idea that today’s security environment is policy centered, it is all about having a set of operationalized infrastructures such that you really can manage the information more closely. That means the infrastructure has to be focused on complexity reduction and a whole range of things that are key to our portfolio, so we think we’re in pretty good shape. If the markets decline a bit we think the spending will come our way. If the markets are robust, we’ll get more than our fair share.
Daniel Ives - FBR Group: Okay, great. Thanks, great quarter.
Operator: Our next question is from Katherine Egbert at Jeffries and Company.
Katherine Egbert - Jefferies & Co.: Hi, good afternoon. I have a couple questions. Enrique, first, your sales quotes for the specialists, are they all new licenses or is it a simple majority of new licenses of the quote itself?
Enrique Salem : For specialists it is new licenses.
Katherine Egbert - Jefferies & Co.: Solely new licenses.
Enrique Salem : Yes.
Katherine Egbert - Jefferies & Co.: Okay, great and then you mentioned the word divestiture and I apologize if someone else asked this earlier, to what extent are you divested? I mean, will you do kind of what VeriSign is doing, communicating in advance if there’s bundles per sale, will you put anything into discontinued ops? Can you give us some sense?
Enrique Salem : That’s not our plan. We announced last week our intent to divest of the application performance management business. That business, quite frankly, we think will be better served, more importantly, our customers will be better served, by the investments that new owners are going to place around that, and we think the team will have a chance to show that they can continue to deliver innovative technologies with a higher investment stream behind them, but we have no intent to follow anyone else’s model. We’ll follow our own model which is as we make decisions about our portfolio we’ll announce those to you.
Katherine Egbert - Jefferies & Co.: Okay, fair enough, thanks.
Operator: We do have time for a few additional questions. (Operator Instructions) We do have a question from Brian Freed with Morgan Keegan.
Brian Freed - Morgan Keegan: Hey guys, thanks for taking my call. Could you talk a little bit about your emerging product segments, things like [inaudible] duplication and the DLP products with VonTu and what you see is kind of the market tone and timing for those types of solutions?
John W. Thompson: When you think about what’s happening in the data center, there’s a clear move from tape to disk based backup and so we’re obviously benefiting from that because without Net Backup 6.5 product and what we call our pure disk offering, it is completely integrated into that backup platform, so what we’re able to do is go back into the customer base and upsell them to the disk based backup capabilities and that is momentum in the marketplace. Every major customer that I speak to is absolutely thinking about how do they move away from tape. That presents a strong opportunity and when I think about what our goals were in the accomplishment, pure disk is definitely on track or a little bit ahead of what I had expected.
Enrique Salem: I think on the DLP side what I would tell you is, on the data leak prevention side, where we are is that that is a very top of mind issue for the entire organization, not just the IT department, but the executives inside of the company where they worry about the liabilities around moving customer data or employee data and the notoriety that goes with that, so definitely a lot of momentum. We’ve seen success in a couple of verticals. We actually think that that opportunity spans across all companies that have to protect information and that basically is everyone, so we see a tremendous opportunity for Symantec and as John says, us securing and managing the world’s information.
Brian Freed - Morgan Keegan: Great, thanks.
Helyn Corcos: I believe that’s all we have for time.
Operator: That is correct, and we’ll turn the call to John Thompson for a closing comment.
John W. Thompson: Well thank you everyone for dialing in this afternoon. I’m awfully, awfully proud of our team and the results that they delivered in the December quarter. More importantly, I’m encouraged by their enthusiasm for our outlook for the March quarter. It’s been a really, really interesting fiscal year for us. Four consecutive quarters now of very strong growth and we would expect to clock one more in the March quarter. Thanks for dialing up.